Operator: Good morning, and welcome to PQ Group Holdings First Quarter 2018 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Nahla Azmy, Vice President of Investor Relations. Please go ahead.
Nahla Azmy: Thank you, Debbie. Welcome to everybody joining us for our first quarter 2018 earnings results call. We will start today with formal remarks from Jim Gentilcore, Chairman and Chief Executive Officer; and Mike Cruz, Executive Vice President and Chief Financial Officer. Then we will follow with a Q&A session. Please note that some of the forward-looking statements that we make today about the Company’s results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the Company's plans to vary materially. These risks are discussed in the Company's filings with the SEC. Reconciliations of non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures can be found in our earnings release and presentation material posted on the investor section of our website at www.pqcorp.com. Now with that, I'm pleased to turn the call to Jim.
Jim Gentilcore: Thank you, Nahla. We're pleased to have all of you join us today. I'll start with a review of our 2018 goals and our first quarter highlights and then, I'll turn the call over to Mike for a more detailed review of our financial results and 2018 outlook. But first, let me say how proud I am of this team's execution. Despite the challenging and prolonged weather headwinds impacting several of our product groups and our customers operations, we delivered a strong first quarter performance with healthy top line and bottom line growth. And we are set up well for our next two quarters, which are typically our strongest. Our diversified portfolio delivered again, with a combination of growth and earnings stability. In fact, if you flip ahead to Slide 14 in the appendix, you see an amazing stability, even through the Great Recession of 2008 and 2009. Now if you turn to Slide 3, just a quick refresh of our stated 2018 goals, which we initially shared with you upon our year-end earnings call in March. With this solid start to the year, we continue to expect sales and adjusted EBITDA growth at two times to three times GDP. And given our sustained high-end, adjusted EBITDA margins, near the top of our peer group, we are on track to deliver free cash flow of $120 million to $140 million in 2018. As we communicated in our last call our top priority for free cash flow is a disciplined debt repayment. To reach our target leverage ratio in the range of three times to 3.5 times. Given our confidence in our full year 2018 outlook, and the momentum we have heading into our typically strong second and third quarters, we plan to pay down $50 million of our debt in the second half of this year. And we'll continue to evaluate our ability to do even more. Finally, as I mentioned in our previous call, I'm very excited about our innovation pipeline, as some of our key new products are starting to ramp up. And our Zeolyst joint venture, two families of emission control catalysts have been rolled out and are now moving through the sampling phase. These are structures with improved low-temperature activity and better overall selectivity, which are extremely important in lowering tailpipe emissions. And also the basis for our penetration efforts in China. In silicate catalysts, we've recently introduced new anti-blocking silicas for PET films, also important for the fast-growing Asian market. As we have discussed before, our innovative ThermoDrop product line is proving to be a disruptor in thermoplastics for the highway safety industry. These are a few examples of our success in new product launches. And it raises our confidence that we are keeping our product vitality at the high-end of the specialty chemicals markets, and enabling their respected product groups to blend their margins upwards. Turning to Slide 4. Our first quarter results set us up well for the full year. We delivered 10% top line growth, which drove nearly a 7% increase in adjusted EBITDA year-on-year, and a 27% adjusted EBITDA margin. This marks the third straight quarter as a public company in which we have executed on our financial commitments. And our sixth straight quarter of consecutive year-over-year sales and adjusted EBITDA growth. Again demonstrating our consistent performance. During this quarter, we successfully completed our term loan refinancing, which not only locked in additional interest saving, but also further strengthened our balance sheet flexibility. Finally, the solid performance and momentum from our existing product groups in both segments this quarter, we are well positioned with key growth pillars that will show strong contribution in the coming quarters. More specifically, let's review these key growth pillars. The first is the global commitment by several producers of polyethylene relating to future PE capacity expansions, where we are one of two leading global suppliers of silica catalysts and supports. We believe, in this addressable market of $700 million that the next tranche of investment from 2018 to 2021, is tilting towards silica-based catalysts and away from alternative PE catalyst technology. This favors the growth in our finished catalyst and support businesses, where we will grow at twice the underlying growth rate. The second is our leading U.S. position in the regeneration of sulfuric acid for the alkylation process, driven by the need for higher octane blends, in the gasoline pool. As you know, the rapidly growing demand for smaller high-compression engines is at the heart of this growth. With the announced sulfuric acid alkylation expansions, expected to be online by 2021, the global market is expected to increase to approximately $900 million for our regeneration catalysts. And the North American market, where we are the clear supply leader accounts for two thirds of this addressable market. And the third pillar, with an addressable market size of approximately $500 million, is our new ThermoDrop product line. As we have previously indicated, this product has the opportunity to significantly change the face of highway safety, with safer more efficient delivery solution to meet the growing demands of thermoplastics on our roads and airport runways. And in fact, I just learned that this week – actually yesterday was the third highest sales day for this highway business on the record books for PQ. So with these solid prospects ahead, our entire team is focused on execution and consistently delivering on our 2018 commitment, to drive value for our shareholders. With that, I'll turn it over to Mike.
Mike Cruz: So thank you Jim and good morning. I will review the results for the quarter, our capital structure and 2018 outlook. Beginning with our first quarter results on Slide 5. Our first quarter represents a solid start to the year. This financial performance demonstrates not only the underlying strength in our key end markets, but also the benefits of a diversified product portfolio. Results were driven by sales growth in both segments, which produced 7% adjusted EBITDA growth and an adjusted EBITDA margin of approximately 27%. For discussion by business segment performance, please turn to Slide 6 for our environmental catalyst and services segment or EC&S. Sales increased more than 5% to $117 million largely driven by higher pricing from the pass-through of increased sulfur cost. This helped to more than offset lower volumes from January freeze on the Gulf Coast that reduced utilization at some of our refining services customers. Sales in the Zeolyst joint venture increased 17% to $38 million, primarily from continued strong demand for emission control catalysts. Adjusted EBITDA rose 4% to $58 million, benefiting from stronger earnings from the Zeolyst joint venture that offset the timing of plant maintenance cost and lower weather-related volumes in refining services. Segment adjusted EBITDA margins of approximately 38% were lower than prior year, largely due to the impact of cost pass-throughs. As a reminder, the refining services product group is largely covered by long-term contracts, of which nearly 90% have cost pass-through provision. Under these contracts as sulfur cost rise, so do sales dollars which means that adjusted EBITDA is relatively flat with the margin percentage declines. Turning to the performance materials and chemicals segment or PM&C on Slide 7. PM&C sales were up 12% to approximately $250 million, primarily driven by contribution from the Silvatech acquisition and favorable currency. Performance materials grew by 17%, due primarily to Silvatech, offsetting a slow start to the highway striping season, given the extended winter conditions. Performance chemicals grew nearly 11% on higher sodium silicate demand for consumer products as well as favorable currency. Adjusted EBITDA increased 9% to $57 million. This was largely driven by favorable currency and higher sodium silicate sales, coupled with the absence of startup costs associated with ThermoDrop that occurred in the prior year. Adjusted EBITDA margin was 23%, slightly lower than the previous year, primarily due to product mix and higher weather-related production costs. Next I'll discuss our capital structure on Slide 8. As Jim touched on earlier, we successfully completed the refinancing of our term loan in early February. This effectively achieved three goals from improving our capital structure. With $14 million of additional annualized cash savings that helped to reduce our overall borrowing cost to approximately 5%. We extended maturities, and we maintained our prepayment flexibility. With this latest refinancing, we've reduced cash interest by $19 million in total from pre-IPO levels. Further, we've interest rate gaps in place through mid-2020, covering $1 billion of our variable interest rate debt. As a result of 1% increase in LIBOR rates will only increase our cash interest by $2 million for the rest of this year. We operate from a position of financial strength. As you can see on Slide 14 of the appendix that Jim referenced earlier, we've demonstrated a track record of consistent adjusted EBITDA growth through economic cycles. Our low cost and flexible capital structure is complemented by product and geographic diversification, cost pass-through provisions and a high-value specialty portfolio that provides the base of stability and also growth opportunities. Our confidence in our free cash flow outlook and our commitment to continue to reduce leverage by a half a turn a year are the basis for our plan to pay down at least $50 million of debt in the second half of 2018. I'm pleased to recall that the first and second quarters are seasonally the lowest for cash flow generation, while Q3 and Q4 are the strongest. Finally, on Slide 9, I'll review our full year outlook. With solid performance in the first quarter, we are maintaining our financial guidance as discussed on our year-end earnings call. Fundamentally, as we saw in 2017 and Q1, we expect continued healthy growth trends in our end markets. With our key customer positions, we're projecting top line growth of 5% to 7% in 2018, excluding the Zeolyst joint venture sales. More specifically on the segment mix, we anticipate that EC&S will grow in the mid single-digit range, while PM&C will grow in the high single-digit range. Our forecast of 4% to 8% growth in adjusted EBITDA incorporates our share of the Zeolyst joint ventures of EBITDA. While some of the mix and pass-through margin trends are expected to continue in the second quarter, we see improvement in the second half of the year based on product mix, leading to full year margins largely in line with 2017. Capital expenditures are expected to be $150 million to $155 million, and include approximately $40 million for growth capital. On D&A, please note that we have provided the Zeolyst joint venture D&A component separately, as that is also added back to calculate adjusted EBITDA, but is excluded from adjusted net income. Finally, our effective tax rate is still anticipated to be in the mid-20% range. I would note the impact of U.S. tax reform is complex. We will provide an update, if and when the adjustments to our provisional estimate recorded at the end of last year, are required. This also excludes the impact of the global intangible low tax income tax, or GILTI, implemented under U.S. tax reform, since it does not impact our cash taxes. Free cash flow is anticipated to range between $120 million and $140 million, significantly up from last year by approximately $145 million to $165 million. As seen in the bullets on this slide, this is largely driven by $50 million of lower refinancing costs, $55 million of lower interest cost, lower anticipated working capital usage of $20 million, with the balance from higher adjusted EBITDA. So to summarize, the first quarter was a good start on our 2018 goals. Results this year will demonstrate PQ's strong and sustainable free cash flow profile and we're focused on debt repayment beginning in the second half of the year, with a targeted debt reduction of at least $50 million. With that, I’ll turn the call back to Jim.
Jim Gentilcore: Thank you, Mike. Please turn to Slide 10 for a quick reminder of our key investment highlights. We have leading positions in our core end markets, many of which are driven by environmental trends that drive our top line growth at 2x to 3x the rate of GDP. Our products and services add value well in excess of customer input costs, which is why we are able to generate high and sustainable margins and strong cash flow through all cycles. And it is our expectation that our margins will continue to expand in midterm with the shift in mix in favor of our environmental catalyst and services segment with its inherently higher margins and growth rates. So in closing, as we have shown you, PQ has a long history with this unique and diversified specialty portfolio consistently driving solid performance in all cycles. We're building on this strong foundation. We have now delivered consistent performance for three quarters as a public company and much longer in our 200-year history. We have a balance sheet with the right flexibility for this type of specialty business and a cash flow profile that will allow us to continually lower our leverage position. With the tailwinds of strong underlying growth in our key markets, we're firmly focused on capturing growth and high sustained margins, driving strong performance to drive meaningful value expansion for our shareholders over the quarters to come. Thank you all for being with us today. And we look forward to meeting with many of you in the coming weeks. Operator, we are now ready for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Christopher Parkinson with Credit Suisse. Please go ahead.
Kieran de Brun: Good morning, this is Kieran on for Chris. I was wondering, if you could discuss some of the key raw materials, where you're seeing price increases within EC&S. And maybe discuss the outlook for rest of 2018? Thank you.
Mike Cruz: Sure. This is Mike. The biggest one, I think, we referenced was on – in the second quarter, was the sulfur cost. So year-over-year, we've seen sulfur pricing go up a little over 60%. And based on our outlook for the rest of the year, we would expect that to continue. And you can see what the margin impact. And again, because that particular commodity is dollar-for-dollar, it doesn't impact EBITDA, but it does impact the margin percentage, because you have higher dollars. The other major one within EC&S would be caustic, which is up about 30% for the year. We also expect that to continue. That's one where we actually have more of a margin protection component, where the percentage wouldn't actually decline like it does for caustic. So those are two of the big ones. Natural gas is relatively flat. Even with that percentage, it's a relatively small component. And we still feel good about our outlook for our ability to generate volume and also price to cover any raw material cost increases it may occur.
Kieran de Brun: Great. And then just a quick one on the demand for sodium silicates. Can you just speak a little bit about the end markets, where you're seeing particular strength there, as you mentioned consumer products? With the consumer products, is there anything specific that you would point out? Thank you.
Jim Gentilcore: Yes, this is Jim Gentilcore. For the quarter – for the first quarter, a lot of that was sodium silicates for consumer care. So I think laundry detergents as well as toothpaste and make-up market, so that's what drove the first quarter. We still feel that later on this year, you'll see continued growth in the green tire market, which is big portion of our sodium silicate market, still going very well, as miles driven around the world keeps increasing. So those are probably the two biggest ones.
Kieran de Brun: Great, thank you.
Operator: The next question comes from Alex Yefremov with Nomura Instinet. Please go ahead.
Alex Yefremov: Thank you, good morning everyone. In PM&C, should we expect sequential improvement in the second quarter to be larger than typical seasonal pickup, just because of the weather issues that you had experienced in 1Q?
Jim Gentilcore: Yes, for sure, Alex. I think that, as we said, for us to have a record day, not the highest day, but third largest day, this early in the season, just talks about the momentum that we have going into the second quarter. And all of the weather delays that we have in the first quarter, we do get them back over the highway striping season basically. It's not – it will all be in the second quarter. But we would expect that we will see this kind of momentum increasing in the second and third quarter.
Alex Yefremov: Understood, thank you. And just wanted to follow up on the green tire issue. I think that there is some sort of uneven numbers in the tire market in general. I just want to make sure, you don't see any headwind in your tire business related to iron demand. You see a sort of sustained growth?
Jim Gentilcore: Yes, we do. We haven't seen any unusual dislocations in our business.
Alex Yefremov: Got it. Thank you. And the final question, if I may. On the debt paydown of $50 million, you're guiding roughly to $130 million free cash flow this year. So where is that delta going? Is it just the timing of when you expect to spend the remainder FCF on these debt paydowns, or 50-plus is sort of the range that you're thinking about?
Mike Cruz: Yes, this is Mike. What we guided to $50 million, it was at least $50 million. So that’s the starting point, given the fact that we are only part of the way through the year. We still have the striping season to kick in. The driving season for refining services so that is our starting point. We view that as minimum, as we have more visibility, we will look to provide an update as we get further into the year. All of an eye towards the overarching goal we have, which is to reduce leverage by a half a turn a year, and that is still our target.
Alex Yefremov: Thanks, Mike, just a follow up. So I think should we expect essentially all the free cash flow to go towards debt paydown this year, by the end of this year, or by early 1Q 2019?
Mike Cruz: Well, what we have said is, we will pay down a minimum of $50 million in the second half, which is our position for today. And we'll provide updates as we get a little further into the year.
Alex Yefremov: Understood. Thank you.
Mike Cruz: Okay, thank you.
Operator: The next question comes from John McNulty with BMO Capital. Please go ahead.
John McNulty: Great, thanks for taking my question. Quickly on the refining services side, where you're impacted by the weather, can you quantify what that was? And I assume that's business that does not come back unlike the road painting business that likely does?
Mike Cruz: This is Mike. That business was low-single-digit million. It was not a huge number. It was really concentrated generally with just a handful of customers. So that likely given high utilization rates gets pushed off into 2019, but we're looking to backfill that with others spot sales in the virgin asset market and some other opportunities we have identified.
John McNulty: Got it, okay. And then – go ahead, please.
Jim Gentilcore: I’m sorry, John. Just to add that, the Gulf Coast it's way past January now, we're also getting how cold its got down there in January. But that affected a lot of our businesses down there. We're already seeing that where pent-up demand, we're covering it. And as Mike said, one of the advantages of our refining services business is that we can shift that, when it's not being used, away from refining services to other virgin asset sales. Although our preference, as we said before, we will continue to tilt towards refining services, because that gives us the most stable profitable growth for the assets that are produced for catalysts in operation.
John McNulty: Got it, okay. I appreciate the color on it. I guess another question. With regard to your catalyst business, or hydrocracking catalyst business, in particular, does that business do better given the higher crude environment? I guess how should we think about that as refiners start to take advantage of the widening spreads. Does that move the needle at all or are they pretty much trying to max you out anyway?
Jim Gentilcore: The biggest driver of that business, John, is the demand for diesel fuels for heavy-duty truck, class-8 truck transportation around the world. So obviously, higher oil prices are going to be a bit of the headwind on that business, but when you look at the – I mean, it's really driven by the overall strength of economies around the world. You have to move the products. And if you move the products, you have to move them with trucks, and ships, and rail and all those things are going to be using lower sulfur diesel fuels over time. So we don’t see any immediate dislocation because of higher energy prices here unless it were to affect the entire economy.
John McNulty: Got it. Okay, that’s helpful. And then I guess the last question just in the catalyst business in general, it seems like we are starting to see more inflationary environment, while some of that I think is tied into the raw materials side. Some of it just seems like it's more of trying to realize a greater portion of the value that's been created. I guess, what are you seeing in terms of kind of the real pricing beyond just raw material pass-throughs for your catalyst business?
Jim Gentilcore: I would say, in general, as we've said before, John, this is a very much a value-based pricing function that we have in the catalyst businesses. We are – we feel like we're at the higher end of those because of our products, we're at the higher end of those markets as far as our margin. That's why you see the close to 40% margin in that business. Each time we negotiate a new contract and now I’m talking about everything, but the refining services business, which has a very different longer term take-or-pay oriented contract structure. But for the other catalysts, the value – it's quickly reflected in the pricing and it turns more frequently than a longer term take-or-pay kind of contracts. So we get a chance especially when we're bringing new products and some of the ones that I mentioned earlier, today. And we keep bring those to market that's where we get a chance to really recognize and realize the value of the new products.
John McNulty: Great, thanks very much for the color.
Operator: The next question comes from David Begleiter with Deutsche Bank. Please go ahead.
Katherine Griffin: Hi, this is Katherine Griffin on for David. How are you?
Nahla Azmy: Good, how are you?
Jim Gentilcore: Yes, we can hear you.
Katherine Griffin: Great, great. So just wondering, first, on kind of given the ramp up in new capacity on the Gulf Coast, what is your outlook for polyethylene demand through the rest of the year? And sort of on that point, what – is there like an industry utilization rate that you assume, is it about the cadence of demand through the year?
Jim Gentilcore: Well, we're watching particularly is that, we've all heard of the – I believe it's 15 million tons per year of new capacity that's coming on over this 2018-2021 period. And each one is – the catalyst of choice, the design win, if you will, that happened at each plant expansion is the way that we tracked that incremental business for us. So it's not much capacity utilization as when is the new capacity coming on? What will – have we want it or not? Have the licensors chosen our catalysts or our catalyst supports? And that's what allows us to in fact have a very high confidence level that we are shifting away from, or towards our silica catalyst in these near-term expansions. And actually, we see over the full three years that we're talking about here.
Katherine Griffin: Okay, thank you. And since last quarter, have your macroeconomic outlook changed at all? I know you mentioned new products into the Asia and China markets specifically. But are there in the regions that have gotten better or worse in terms of growth?
Jim Gentilcore: Frankly, I think it's pretty much steady as it goes, it's the way we see it. Although because we're starting from a relatively small base in China, and even not as small, but a small base in Asia, so those increases are very helpful to us on a micro level. And as I did say, we're early in the commercialization of those products, but encouraging signs.
Katherine Griffin: What is the timeline like in terms of, I think, you mentioned sampling. So from sampling to commercialization, about how long does that take?
Jim Gentilcore: Well, there's sampling this year, we would expect revenue this year as well. So by fourth quarter, we're going to start to see the beginning of the ramp of those new products.
Katherine Griffin: Okay, thank you. Thank you very much.
Operator: The next question comes from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Thanks very much. Just a question on margins and particularly in PM&C, I mean, obviously, it's very easy to understand the weather-related impacts in the quarter and some of you get back so it will be a little different. But you did guide to full year margins continuing to be flat. So if you can maybe just bridge us the rest of the year, how margins progress? And how may be with a little bit of a dividend 1Q, you make it up in the balance of the year to stay flat year-over-year?
Mike Cruz: Yes, this is Mike, Vincent. As you looked at the first quarter, we had a slower start to the highway season. We knew that was occurring throughout the latter part of the first quarter, but some of that was offset by backfilling with some additional sales in performance chemicals. But the mix of those were such that the margin on those sales were actually a little bit lower than what we would normally have in performance chemicals, which is the nature of how the mix shook out for that period. So as we get – and I guess, I would add to that, so the cold weather, we had some higher production related costs in performance chemicals, whether we had gas interruptions, just some optimization that we had to do to keep volume up. So those were some incremental cost in the quarter as well, which we would expect to offset for the rest of the year. So the combination of working through the offsets for that and then improving mix for PM&C in total as we get into the second and third quarters will drive us back to where we think we need to be in the latter half of the year.
Vincent Andrews: Okay, thank you very much.
Operator: The next question comes from PJ Juvekar from Citi. Please go ahead.
Scott Goldstein: Hi, good morning. This is Scott Goldstein on for PJ. So just on your capital allocation. Are you prioritizing reaching your net leverage range 3x to 3.5x, before you would, and consider tuck-in acquisitions? Or are there any kind of deals that would compel you to consider doing M&A before paying down or reaching that leverage range?
Jim Gentilcore: Well, as we've said in the past, Scott, we believe that we can do – that the can – that the overwriting rule is that we're going to hit that leverage range over the next couple of years as we said. We've also said that, even within that constraint, if you will, that there is opportunity for us to do bolt-on acquisitions, where we know the assets well already. We feel very confident that we can get them at good value that they would be immediately accretive, that we know how to find the synergies. But after all that, we have also said that these are not significant deals that will knock us off that course to 0.5 turn correction per year.
Scott Goldstein: Okay. Understood. And maybe going to sodium silicates. I think, on the last call you mentioned that you found spot opportunities from some of the Chinese competitors coming off-line due to environmental regulations. During this quarter, have you seen some of those competitors come back online? And just – do you intend to see more opportunities like that over the next year?
Jim Gentilcore: Yes, we did see – we haven't seen any broad trend that says the Chinese are bringing those plants back online. But we did continue to see spot opportunities. Some of that, unfortunately, is in the lower range of our margins, even though we are in a good position here. It's not as high margin for us as some of the other silica products that we make. But – so we're going to continue. We feel we’ll continue to see these spot opportunities and we're selective because we want to make sure we are going after the best margin for all that business. Our plans around the world are running at very high utilization rates. So we can be selective with these spot opportunities. We are hearing, but not seeing in our own business that some of these plants have passed the traffics that they have to run on behalf of Chinese regulators. But we haven't seen the come back online yet. But there are – and then our performance materials business, and the glass business, we have seen a different kind of phenomena. The Chinese are now putting more attention on their own domestic markets for highway, obviously, for infrastructure, so we are seeing less indication of performance materials for our microsphere products from the Chinese coming into the U.S. market. So combination of those spot opportunities and the domestic consumption of Chinese goods looks to favor our performance, materials and chemicals business over the next couple of quarters. But we don't have a very clear picture yet. These are just early indicators.
Scott Goldstein: Okay. Thank you, that’s helpful.
Operator: The next question comes from Roger Spitz with Bank of America. Please go ahead.
Roger Spitz: Thank you and good morning.
Jim Gentilcore: Good morning.
Roger Spitz: For sodium silicates, are you able to provide a sort of a year-over-year numerical volume growth number for sodium silicates?
Jim Gentilcore: I would say, when you look at Page 12 that provides the price volume mix kind of breakdowns by segment. Within PM&C, the impact on highway was kind of low-single-digit million in the quarter and that was largely offset by the sodium silicate.
Roger Spitz: Okay, thank you for that. And in HDPE catalyst, I'm trying to determine how smooth or lumpy some of that business can be, because we're right now going through a period, when a lot of guys are adding new HDPE plants. And how much – what is your split of catalyst, as you may sell directly to HDPE producers versus catalyst support which I'm presuming that you're to others who are putting together the final catalyst of the HDPE producers. If I understand our business right?
Jim Gentilcore: A couple of pieces. So first of all, when we try to explain the way the lumpy function, if you will, in our catalyst business. We look at whether we're talking about fixed band or a consumable, fortunately in the case of HDPE, the catalyst is consumed with the production of the polyethylene. So it's not lumpy in the way we would talk about a hydrocracking fixed bed reactor. That's a lumpier kind of business. So HDPE is not lumpy at all in its consumption. What – so I think that was first part of your question. The second part about how we sell-through, early on, it's really our alignment with the licensors, with the catalyst licensors. And we feel we're in very good position with this first tranche of new HDPE and linear density polyethylene expansions that are coming on stream because we already know who the licensors are, we know our relationship with them and in fact, we're already starting to provide products. So we have high confidence level that this trend we are seeing is holding true. We think we will be able to grow it twice the market rate that HDPE itself is growing.
Roger Spitz: Thank you for that and if I could add to that, I appreciate that. But – the part of the lumpiness, I was thinking also was the fact that with the new – when a guy puts up a new HDPE plant, that first catalyst presumably might add some lumpiness now there's just one plant, but there are a lot of plants coming on. So I was thinking that the first load lumpiness. And with the split between direct to an HDPE producer and to another catalyst guys putting together a final catalyst, do you saw at all any final catalyst to the producers are all of your catalysts and catalyst supports goes to others who are finalizing catalysts and then selling it to the actual – the guys actually who make the HDPE?
Jim Gentilcore: We sell to both. We sell directly to HDPE producers and we sell to the catalyst licensors in some cases. And it's – it varies from year-to-year. But we sell-through both channels. And we do sell end catalysts. Our foam silica catalysts or our end catalysts, not just support. And I'm not – I don't believe that we would see any material lumpiness because of that first fill on expansions.
Roger Spitz: Thank you very much.
Operator: The next question comes from Laurence Alexander with Jefferies. Please go ahead.
Dan Rizzo: Thanks guys. It is actually Dan Rizzo on for Laurence. Can you just tell us how the change in greenfield standards is affecting, or is going to affect, or how you think is going to affect the sulfuric acid recycling business?
Jim Gentilcore: We don’t see this having effect on the regen business, sulfuric acid business. The real impact is going to be on lower sulfur fuels – so there's going to be a significant part of the high sulfur bunker fuels that are used in marine transportation applications, that are going to have to start switching in 2020 to a lower sulfur content. And there are several paths to get there. The fastest and most likely path of least resistance, if you will, is going to be the blend down, the bunker fuels, which are 3.5% sulfur today to 0.5% diesel fuels that are used in heavy-duty diesel applications today. So the impact on us which will be significant starting in 2020 in a positive way, will be in our hydrocracking sales through our Zeolyst joint venture. The refining services business for us is just for the alkylation products that are used in gasoline, in the octane blended gasoline. So we don't see any direct correlation between those two, between IMO 2020 and the effect on our refining services business.
Dan Rizzo: Thank you for that. I am sorry if I missed this, would you say that the Chinese environmental reforms, is that having a larger impact than you thought previously may be earlier this year?
Jim Gentilcore: I think that's my earlier comment, Dan. It looks to us like some of the capacity and this is almost exclusively in our performance materials and chemicals business. Some of the capacity that they have used to compete globally is going to be taken off-line and kept off-line. We believe with some of those plants will past the new regulation ever so just take them out. It will be assets that come out of service. The other ones that are being updated, obviously the higher capital cost associated with that, but now they will continue to provide product, especially in Asia, but as I said, the last dimension is that we see more domestic consumption of Chinese products in China. And this is just in our performance chemicals and materials universe.
Dan Rizzo: Thank you very much guys,
Operator: The next question comes from Bob Koort with Goldman Sachs. Please go ahead.
Dylan Campbell: Hi good morning this is Dylan Campbell on for Bob. Can you talk about, I guess the impact of IMO 2020 on your business? And how are changing marine fuel standards are likely to drive demand for hydrocracking?
Jim Gentilcore: The question that I just answered for the last caller was about that very issue. So the IMO 2020, which we think will increase the demand for hydrocracking, lower sulfur fuels that are produced through the hydrocracking process that uses our catalyst. And it will be significant, but it's not in the – certainly not in the 2018, 2019 time frame.
Dylan Campbell: Got it. And can you give some additional data or color around kind of what you’re seeing with ThermoDrop? And kind of give us kind of your expected cadence for the adoption rate, and kind of plug-in there, kind of expected earnings in 2018 or even 2019?
Jim Gentilcore: Well, I mean, I’ll talk qualitatively. I mean, the point that I just made about hitting record sales day, one of our record sales day this early in the season. It’s an indication about how strong ThermoDrop is. I think, I’ve shared with many in the past that we believe that this is – each plant will give us somewhere in the range of $10 million of EBITDA at full utilization. And then we can build new plants in about 10 months to 12 months.
Dylan Campbell: Got it. Thank you.
Jim Gentilcore: You’re welcome.
Operator: The next question comes from Bill Hoffmann with Investcorp Credit Management. Please go ahead.
Bill Hoffmann: Yes. Hi, good morning. Just a follow-up question.
Jim Gentilcore: Bill.
Bill Hoffmann: Yes. Just a final question on the Zeolyst JV. As you look towards some of these additional capacity coming on dream for your customers. Any thoughts on the capital requirements for Zeolyst, and sort of balancing that on distributions coming out of there?
Jim Gentilcore: Yes. As you know, Bill, all of our expansions to date and we believe in the foreseeable future are funded from the JV. So neither party gets additional capital in. Not in the 2018, 2019 timeframe, perhaps farther down, as we get a better feeling for what this opportunity, what the IMO 2020 opportunity is, how it’s going to materialize, that might change. But I can’t imagine that we wouldn’t be able to deal with the expansions from the joint venture itself.
Bill Hoffmann: Okay. So I mean today you’ve enough capacity there to generic growth and then you target 2020 for potential future additional capital?
Jim Gentilcore: Yes. We have expansions underway now that are going to add capacity where we need it. And then, in the 2020 time frame, we could see. So those – those plant expansions tend to be in the $30 million to $40 million range. But we don’t see that required – that hasn’t already been approved and under construction. We don’t see that in the 2018, 2019 time period.
Bill Hoffmann: Okay, thanks. And then just second question. We’ve seen a significant recovery here in the U.S. oil patch. And back is in the day, you guys sold product into that market. Is that still something that has an attractive opportunity for you, or is that something that could develop as those fracking rates continue to recover?
Jim Gentilcore: Yes, that’s a good question, Bill. And we are, in fact, seeing some good signs there. We’ve reorganized our business, so that oil and gas is now handled by one group, where we take products out of performance materials and performance chemicals and we’re bringing them to the market in a more cohesive way. It’s still a small compared to what it was for us back at $100 a barrel oil days, but it is a very encouraging sign. And we intend to continue to look for opportunities to expand our involvement in that business.
Unidentified Analyst: All right, great. Thank you.
Jim Gentilcore: Thank you.
Operator: The next question comes from Mike Sison with KeyBanc Capital Markets. Please go ahead.
Unidentified Analyst: Good morning. This is [indiscernible] on for Mike. So I just had a question on your MMA business. I think it was late last year, there was an announcement about a new MMA process. Do you see that as an opportunity to maybe make catalyst for their business? Just wondering, if you have any thoughts on that.
Jim Gentilcore: Yes, okay. So our understanding is that product does not – that process still doesn’t have the same advantage as the leading process that has been developed already and that’s being utilized by the leader in that marketplace. The largest player there, Mitsubishi is several times larger than any of the other MMA catalyst producers. And a lot of it is because this new catalyst that they introduced a few years back, what were the exclusive supplier for that catalyst, it is a much more efficient process as we understand it.
Unidentified Analyst: Okay, and then could you – I’m sorry. I was just wondering if you just give us an update on the timing of new [indiscernible] plant. When do you see that being the feeling there?
Jim Gentilcore: The site has not yet been announced, but we expect it will have to be announced shortly, because they will be – their plans are to bring that on in next year or early year after that.
Unidentified Analyst: Okay, great. I appreciate it.
Operator: The next question comes from Silke Kueck with JP Morgan. Please go ahead.
Silke Kueck: Good morning. It’s Silke Kueck in for Jeff. How are you?
Jim Gentilcore: Good morning.
Silke Kueck: Good morning. As you sort of [indiscernible] some of that the raw material cost headwinds and some of the early weather issues, do you sort of have cost savings target in mind for this year? And if you do, what is it?
Mike Cruz: We haven’t put out a specific cost target. We're constantly looking to lower cost of where we can all limit the impact of inflation, which is why we have about $10 million of cost reduction capital built into our maintenance. But there is no hard target. I mean, it's a business that's been run – it's been well invested, but running very lean, and I think it's evident in the 28% margins that we have here. So it's all – it's incremental and disciplined with no step change. Where you see significant cost reductions are where we do the things like business combination with Eco Services, or with the Silvatech acquisition is where the big step out cost efforts may occur.
Silke Kueck: Okay, thank you. In terms of – when I look at your balance sheet, so year-over-year and sequentially like your up a little bit inventories, is that a function of currencies or what sort of behind it? And do you have like working capital target for the year?
Mike Cruz: That is a good question. So the sales are up based upon – the receivables are up just based on higher sales. The inventory is up for two reasons. One is to continue to build the inventory for our ThermoDrop product. And also with the slower start to the highway striping season that we still have inventory at the hand at March. And we will work through the rest of the periods we get through the selling season, before we start building again at the end of the year. And then what we have said on working capital was you look at the $120 million to $140 million free cash flow target, I believe we had about the usage of $40 million year and we expect while still we have usage in 2018 then it would be a $20 million improvement. So as the business grows we are planning to use about $20 million of working capital.
Silke Kueck: Okay, thank and my last question I has to do with mix, so when I look at you or silicon catalyst business and your Zeolyst catalyst business, like if you could choose to sound incremental – pound of catalyst either to like the – HDPE market or the MMA market or the emission control market, or the hydrocracking catalyst market like when would you sell it to?
Jim Gentilcore: I will let Mike answer that, but let me just process by saying that, that these are different materials. The materials used in the HDPE business are not made in the same plants with the same processes are with the same technology as those going to either hydrocracking or even our emissions control business. So there is not – and I would just add that the margins for all of them are very good. They're all very consistent in that upward 30-some, above 40% range.
Mike Cruz: Yes, I think that's the key point. Capacity is not interchangeable. We have this previously within Zeolyst joint venture that low to high that hydrocracking can be 40% of sales to a total of 50% of sales. We do expect higher hydrocracking catalyst year. This is year, which is part of why we said on the last call that might have negative impact on our overall margins for 2018.
Silke Kueck: Thanks very much.
Operator: At this time, there are no further questions in the queue. I would like to turn the conference back over to Nahla Azmy for some final remarks.
Nahla Azmy: Thank you, Debbie. I Just wanted to bring your attention to a few spring conferences in which we will be participating. They are the Goldman Sachs Basic Materials conference on May 16, the Deutsche Bank Global Industrials and Minerals Conference in Chicago on June 7. And the BMO Chemicals Conference in New York on June 26. So we are definitely very excited to see many of you in the coming weeks. Thank you for your time with us and interest in PQ.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.